Operator: Good day, ladies and gentlemen and welcome to the Q1 2015 Lincoln Educational Services Earnings Conference Call. My name is Kate and I will be your operator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of today’s conference. [Operator Instructions] As a reminder, this call is being recorded. And now, I would like to turn the call over to Doug Sherk. Please proceed.
Doug Sherk: Thank you, Kate and good morning everyone. Before the open of the market today, Lincoln Educational Services issued a press release announcing its first quarter 2015 financial results. The release is available on the Investor Relations portion of the company’s corporate website at www.lincolnedu.com. Before we get started during the course of this conference call, the company will make forward-looking statements about its future plans, objectives, beliefs, expectations and prospects. For this purpose, any statements made today that are not statements of historical facts maybe deemed to be forward-looking statements. These forward-looking statements are not guarantees of future actions, outcomes, results or performance. By their nature, these forward-looking statements are subject to many risks and uncertainties that could cause actual results to differ materially from the results discussed in or implied by the forward-looking statements. A discussion of the risks and uncertainties that affect Lincoln’s business is contained in the company’s SEC filings particularly under the heading Risk Factors and in the press release issued this morning. Copies of these documents are available online from the SEC or on the Lincoln website. These forward-looking statements are made only as of the date this conference call was initially held and the company assumes no obligation and does not intend to update these forward-looking statements after the date of this conference call whether as a result of new information, future events, developments, changes in assumptions or otherwise. And now, I would like to turn the call over to Shaun McAlmont, CEO of Lincoln Educational Services.
Shaun McAlmont: Thank you, Doug and good morning everyone. Joining me on the call today is Scott Shaw, President and Chief Operating Officer and Brian Meyers, Chief Financial Officer. This morning, I will open the call with an overview of the progress we have made since we talked to you on our year end call less than 2 months ago. Scott will review his vision for leading Lincoln – Lincoln under the leadership transition plan that we announced this morning and Brian will focus his comments on our segment financial performance as well as other key financial metrics, included or updated in our financial guidance and then we will open up the call for your questions. During 2014, our team executed a number of actions to improve our financial performance. And during the first quarter, we began to see the benefits of those actions. We generated results that were consistent with the outlook we provided back in March. Overall, revenue was slightly down, but we generated substantially improved profitability. We completed the transition to segment reporting and we continue to take additional cost out of the system, while at the same time continuing to invest in technology, equipment and programs that distinguish Lincoln by providing students with the enhanced skills education needed by American employers. We also continue to examine non-dilutive ways to build financial resources and we have made some real progress in that area, which Scott will report on in a minute. Finally, we completed the leadership transition plan announced this morning. While we have more work to do, our team significantly reduced our overall operating loss while doubling operating income from our transportation and skilled trades segment and generating a 25% reduction in the operating loss of our healthcare and other profession segment. While reduced unemployment rates are impacting our starts and will likely do so throughout the year, we continue to right size the organization and believe we have strategies to grow long-term despite high unemployment. We are refining our top line guidance for the year to a revenue range of $310 million to $320 million. The top end of this range would result in revenue on a continuing operations basis that would be about flat with last year. Because of the success of our expense management efforts, we are able to reiterate our original bottom line outlook. Brian will offer more specifics on the guidance in a few minutes. The planned leadership transition we announced today is a result of a long and deliberative process. Collectively, our board and management team believe in and therefore we have been planning for an orderly succession for both components of Lincoln’s leadership. For example, Scott and I have been working together for the past 2 years with the goal of transitioning Scott to CEO. In addition, our planning led to the addition last year of two new board members with deep automotive industry experience. These additions were made with the thinking that new board members would replace some of the existing team once the new members became fully versed in Lincoln situation. My decision to move on at this time reflects my personal commitment to my family in the near-term and eventually looking at other career options down the road. This transition is timely in terms of the company’s ongoing restructuring plans to become a more efficient and profitable organization through reduced corporate expenses. Because sector trends have not yet stabilized, we anticipate having to manage the company in a more nimble fashion to achieve profitability sooner. You will note that the transition we announced today does not involve naming a new Chief Operating Officer, but those reflect the implementation of a more nimble and efficient corporate structure. At the Board level, Alexis Michas served the company well from the time of Stonington’s acquisition in 1999 to the IPO in 2005 and through our growth in retrenchment phases. We truly appreciate his 16 years of unwavering support and his guidance as we have managed through unprecedented times in the industry. His successor Barry Morrow is an accomplished executive having served as the Chief Executive Officer in the past and importantly he also brings policy experience from his role with the U.S. Department of Education. It’s been a tremendous 10 years at Lincoln for me, my colleagues and I have seen both impressive growth for a number of years and then decline forcing retrenchment for the past few years. Despite these fluctuations, we have remained cash flow positive, regulatory compliant and we have improved our student outcomes. Turning to Scott, most of you have followed Lincoln over the past year and you have been exposed to his proven leadership and exceptional understanding of the industry via our earnings calls and our investor meetings, which he may not have gained this an appreciation for his clear and concise vision for both the company’s future and building shareholder returns. And I think you will get that sense in short order. Scott’s leadership along with the guidance of a new Board will serve the company well. At this point, I will turn the time over to Scott.
Scott Shaw: Thank you very much, Shaun. I have enjoyed working with you during the past 5 years and I am excited about the potential for Lincoln as we move into the next chapter of our company’s development. I would like to begin my remarks today by articulating our 100-day plan and then our longer term initiatives to return the company to growth. Then I will conclude my prepared remarks with some notes on our improved operating performance during the first quarter. This organization has always focused on delivering a strong return on investment for our students, while being a leader in maintaining regulatory compliance. It’s my full intention to maintain and build on this 69-year reputation, while at the same time returning our company to profitability. Over the next 100 days, our team has three key initiatives. First we expect to replace the existing credit facility with a new, larger lower-cost facility that provides the company with long-term financial stability. We have received several letters of intent offering relatively attractive terms. And we are focused on moving to a definitive agreement with one of these institutions shortly. As we finalize terms, we will issue a news release announcing the new facility. The second initiative that we expect to implement are more efficiencies at the corporate and campus level made possible by our move to segmentation as well as the completion of a thorough review of our corporate cost structure. This component of our plan will enable us to further improve profitability while at the same time maintaining the level of student experience and training that has led many of our corporate partners to tell us that Lincoln students are the best prepared for the job. By moving to segments we are better able to align our resources with our opportunities. We are reorganizing certain schools and streamlining the management teams to best meet the needs of the students and employers in each market. And while we are consistently reassessing everything we do, we continue to make improvements and investments to increase our productivity and opportunity for growth. Examples of these investments include fully rolling out a new customer relationship management software solution, which is enabling us to more quickly service our prospective students, also enhancing and expanding our call center operations for both our admissions and financial aid departments and finally continuing to refine our marketing approach and messaging. The decision to segment was made to align our financial reporting with how we are now managing our business as well as be consistent with how our industry has adopted segmentation. The greater insight into our business enabled via segmentation has already provided benefits. While the basic operations of running a school are very similar across all disciplines, the customers and markets served are very different. Suffice it to say that nursing students and welding students are very different people. Similarly, our experience and research shows that prospective students interested in automotive could also be interested in CNC machining our HVAC, but most likely are not interested in medical assisting or culinary, in the office it is true as well. We believe that we will be better able to compete and serve our various markets by aligning our resources into two major operating segments instead of spreading out among 31 individual campuses. One operating segment is transportation and skilled trades and the other operating segment is healthcare and other professions. We also have a third segment called transitional in which we have placed our Fern Park campus which we are teaching out with an expected close date of March 31, 2016. As part of our plan to return to profitability, we continued to evaluate the long-term financial rewards of each campus. For example, we have one campus in Hartford that is saddled with a building and lease that significantly drags down the profitability of our entire healthcare and other profession segment. We are working aggressively with the landlord to find a buyer for the building so that we can significantly reduce our facility costs at this campus. Unfortunately, the timing of achieving this is completely unknown, but to give you a sense of the magnitude of the problem when we exit this lease and moved the operation into a facility that matches the program’s current size, we should save about $4.5 million of expense. By becoming a leaner, more nimble organization we will achieve the financial stability we need to fully capitalize on the tremendous opportunity Lincoln has to be America’s technical institute. No organization and I repeat no organization be a private or public is better positioned and capable to provide their hands-on skilled training that so many industries need to operate. However, we need to do a better job and making America aware of our strengths. Consequently, the third initiative of our 100-day plan is a multi-pronged approach designed to increase the awareness of employer demand for middle skilled employees amongst prospective students. Again, demand for these types of skill sets has never been greater and the employer see this demand increasing as the baby boomers retire in increasing numbers over the next decade. Our opportunity is to make more people aware of this need by industry and to show them that Lincoln is their best path to a successful career. As part of this plan in January to leverage our significant footprint, long history of providing hands-on skilled training and our role in filling the nation’s skill gap, we launched our new campaign to position Lincoln Tech as America’s technical institute. The messaging is uplifting, positive and direct. Our students speak about what they achieved by attending Lincoln and why they now feel so positive about their future. We believe that part of our challenge in attracting more students is making the students more comfortable with the decision to go back to school for training. By showcasing happy and successful graduates, we hope to give prospective students the confidence to follow their passions. In addition, we continue to work with our industry partners to leverage their resources to educate and motivate others to pursue careers for which we provide training. Our employers could speak best about industry demand and the benefits of a Lincoln education. Consequently, we will continue to incorporate them into our advertising, our recruiting process and our general outreach efforts. One example, excuse me, of how we are working with industry to bring the Lincoln message to a broader and interested market is our attendance at NAPA’s Expo this week. NAPA asked us to join them at their national conference because their customers are constantly telling them that they cannot find enough technicians. More than 18,000 are in attendance and our employees will be showcasing our ability to offer them skilled technicians and seeking partnerships to attract more students into our schools. This is just one example of dozens of initiatives we currently have underway to strengthen the Lincoln brand and create more awareness. We believe that we are well positioned to capitalize on leveraging our industry relationships. Attendance by industry at our career fairs has never been higher and more and more students are being offered signing bonuses to encourage their acceptance of job offers. Moreover, more students than ever are being hired prior to graduation. And the employers are telling us that Lincoln students seem better prepare doing the interview process, which is so critical to getting that job offer. Turning to the longer term, a major initiative is to capitalize on our capabilities to provide additional services to our employers in the form of corporate training. This is a natural extension of our leadership in providing entry level skills training. We already offer limited amounts of this type of training, but we see a growing need as technology continues to advance and many organizations have cut back on their internal employee training capabilities. We have the capacity to serve a much broader audience. And by serving this new segment, we hope to lessen the decline in demand that occurs when unemployment rates decline. Our core customers plentiful when the unemployment rates are high, but they are far less plentiful when unemployment rates are low. Conversely, as the economy strengthens, companies tend to invest more in training their existing workforce. We hope to profit from this need and we will be dedicating more resources to this initiative. As we achieve success in this high potential area, I will be sure to share them with you. In a few moments, I will turn the call over to Brian to provide detail on our financial performance in the first quarter, but I would like to focus on a few operating metrics that illustrate our progress. First of all, our profitability increased and that we decreased our losses by 37% as compared to last year’s first quarter. This was achieved despite lower revenues due to our cost saving actions from last year. Starts in aggregate were down 8.2% in the first quarter with transportation and skilled trades down only 3.9% and healthcare and other professions down 10.5%. In general, our transportation and skilled trades segment is currently a much healthier segment, but we firmly believe that healthcare and other professions can become just as strong over time. And we will continue to take actions to achieve this objective. In general, the market environment is challenging. Costs are increasing which puts even more pressure on us to create greater efficiencies. As we rollout our new call centers and customer relationship platforms, we are seeing increased efficiencies which should be positively impacting our entire company by the beginning of the fourth quarter. We will continue to adjust our marketing spend to find the right mix of lead source and volume to maximize the productivity of our admissions teams. We have seen an increase in our start rates across schools as we expand our level of financial aid services and strategically offer scholarships. As I mentioned earlier, we will continue to leverage our industry relationships to draw more attention to us and give prospective students increased confidence that they should take the important step of getting an education through Lincoln. Finally, our focus on outcomes remains as strong as ever. By continually improving our graduation and placement rates, we will ensure that we are providing our students the return on investment that they seek. Furthermore, we continue to seek opportunities to lower our cohort default rates of 90/10. We expect to end 2015 stronger in each of these metrics. With that, I will now hand the call over to Brian who will cover the financial highlights from the quarter, Brian?
Brian Meyers: Thank you, Scott. I will focus my comments on our segment results for the first quarter as well as some key financial metrics and our revised financial guidance for 2015. As mentioned this morning, our transportation and skilled trades segment performance in the first quarter was solid. We increased revenue nearly 1% to $44.8 million from $44.5 million quarter-over-quarter and we increased operating income $5 million as compared to $2.3 million in the first quarter of 2014. Starts in this segment were down a total of 3.9% to approximately 1,800, which we believe is due to the improving employment rate that has been reported nationally as well as in many of the key geographies where we operate. Our healthcare and other professions segment reported 7.6% decline in revenue from a year ago. However, our efforts to contain cost reduced our operating loss by 25.8%. Revenue for this segment was $31.3 million versus $33.9 million in the first quarter of 2014 and our operating loss was $5.5 million as compared to $0.7 million during the last year’s first quarter. Starts for this segment, was approximately 1,700. This represented a 10.5% decrease from the year ago quarter. We have implemented a number of actions to improve this segment. For instance, we began adding blended and adaptive learning programs to the curriculum to enhance the student experience. Finally, our transitional segment, which is only comprised of the Fern Park, Florida campus, generated an operating loss of $0.7 million versus $0.5 million last year due to the anticipated revenue decline from ceasing new enrollments during the first quarter as this campus will close during the first quarter of 2016. Corporate expenses declined 6.4% to $9.2 million compared to $9.8 million in the prior quarter. This positive trend relates to lower salary and benefit compensation. Management continues to analyze further cost saving strategies, while maintaining a focus on student outcomes and a strong regulatory compliance. I would like to note for investors that if we look at the financial performance for the total company without the transitional segment, the two campuses that mirrors with neighboring campuses during 2014 and the Hartford campus Scott discussed earlier, our operating loss would have been $3.6 million versus $6.4 million. Average revenue per student for the first quarter increased to 5,723 due to tuition rate increases. The decrease in student population during 2015 also impacted our capacity utilization, which decreased to 34.7% for the first quarter of 2015 from 35.4% in a comparable quarter last year. In looking at the balance sheet, we used $6.3 million to fund operations during the first quarter and repaid all outstanding debt. As a result, we finished the quarter with a cash balance of $5.2 million. As Scott mentioned during his remarks, we expect to further improve our financial stability with the completion of a new credit facility from one of our – from one of the institution that provide us with the letter of intent and we will update you as soon as we finalize details. In terms of our guidance for the remainder of 2015, given that we now have 4 months of experience in terms of starts, we are refining our revenue outlook for 2015 from continuing operation to a range of $310 million to $320 million as compared to our previous outlook of approximately $320 million based on starts declining between 1% and 5% for the full year. This compares with our initial outlook of approximately flat starts for the full year. At this time, we are reaffirming our previously provided expectation to generate positive cash flow from operations in my prior year as well as our expected EPS loss of $0.32 to $0.47 for the year. With that, operator, we will now open to taking questions.
Operator: Thank you. [Operator Instructions] I am pleased to invite your first question which comes from the line of Alex Paris, Barrington Research. Please go ahead.
Alex Paris: Good morning, guys.
Scott Shaw: Good morning, Alex.
Brian Meyers: Good morning.
Alex Paris: I have a number of questions, but I will just start with two. First of all, with the new segmentation, how many schools are in each, how many – I know you have one in the transition, how do the other schools breakout?
Scott Shaw: Sure, Alex. It’s Scott. There are 12 in the automotive segment and 18 in the healthcare and other profession segment.
Alex Paris: Okay, good. And then I think several quarters ago, you gave a breakdown that said 10 of your campuses had positive starts, I think that was third quarter, I don’t know if you gave a similar number in the fourth quarter, would you care to offer a little color there?
Scott Shaw: Sure. The only, I guess, the color I will give is that certainly the transportation segment is much healthier segment and as it shows growth kind of across all the campuses, more of the softness is definitely proportionately to the healthcare segment.
Alex Paris: Okay. Yet starts were down 3.9% for the transportation group, the 12 campuses as a whole.
Scott Shaw: That’s correct.
Alex Paris: So, were there a couple of campuses in there that were particularly negative?
Scott Shaw: No, nothing particularly negative and nothing particularly positive, there were ones that were positive and we are moving forward. Again in total, we are talking maybe 100 students as far as our whole swing goes. So, it just takes a couple at each campus.
Alex Paris: Yes. And then I wonder you have been doing a lot in terms of streamlining the organization, taking out excess capacity, reducing costs. Can you quantify for that – quantify that for us like on an annual cost savings basis what have you done – what do you see left to do or how much more can you get this year?
Scott Shaw: Sure. I mean, I think that last year we said that we probably achieved around $12 million to $14 million of cost reductions. This year, we are looking at making additional cost reductions not at the same magnitude of that level.
Alex Paris: Okay. And then one last one, credit facility it’s $20 million now un-drawn, you are going to have something significantly larger, is this with alternative lenders and is it going to be securitized, I suppose secured by real estate?
Scott Shaw: That is correct, yes.
Alex Paris: And on the order of magnitude, do you think you will double that line of credit or more?
Scott Shaw: We are looking to hopefully double the line of credit.
Alex Paris: Okay. And then just a bookkeeping question, are you going to provide us with some historical restatements by segment? Are you just going to report it on a quarter-by-quarter basis?
Scott Shaw: So, we just don’t report on a quarter-by-quarter basis. I know that’s a little bit frustrating for you all for your models, but that’s the way we are going to just proceed at this point.
Alex Paris: Okay, fair enough. Thank you very much.
Scott Shaw: Thanks, Alex.
Operator: Thank you for your questions. [Operator Instructions] And your next question comes from the line of Doug Ruth. Please go ahead and that’s from Lenox Financial Services
Doug Ruth: Hi, thank you for the transparency. It’s very much appreciated. Could you – in the past you had told us that there were six problem schools and that four of the six were fairly close to breaking even, is there any update, is there any additional color you could give us on that?
Scott Shaw: Sure. Doug, it’s Scott and welcome to the call. Yes, the color is that I mean we just spoke to you I guess last two months ago, so there hasn’t been dramatic movement, but as you can see in the first quarter, our performance is better at the bottom line. And so we are seeing improvements in those campuses but it still it takes sometime to get them all to be where we need them to be.
Doug Ruth: One of the things, it’s difficult for us is we hear about the increased need for healthcare workers, but then were hearing Lincoln struggle with your healthcare segment, could you off a little color or commentary on how we reconcile those two different things?
Scott Shaw: Sure. I meant it’s a good question and one we think about often also I mean I don’t think it’s too – when I would look at some of the landscape out there, I would see others having some similar challenges as we do. But in the healthcare side, certainly on the employer side the demand is still very strong, it’s really getting to people in the front door. And there is overall more competition on the healthcare segment. And so given that there is just overall softness, I think we are all suffering a little bit. But as Brian mentioned, we do believe that by enhancing our curriculum and making our programs more flexible by having blended learnings that will appeal to more people especially the single moms who enter the healthcare field and that will help us going forward.
Doug Ruth: Okay. Is there an exit strategy or an exit date maybe for the Hartford campus?
Scott Shaw: Well, our desire would be do it as quickly as possible, but like I mentioned in our remarks we are really not controlling that process. It’s really the landlord needs to find a buyer for their property and that could take some time.
Doug Ruth: And are – is Lincoln somehow involved in helping with marketing a bit?
Scott Shaw: Sure. Yes we are.
Doug Ruth: Okay. Well, thank you for answering the questions. And again thank you for the improved disclosure and transparency that gives all of us some further comfort.
Scott Shaw: Great. Thanks, Doug.
Operator: Thank you for your question. I would now like to turn the call over to management for closing remarks.
Scott Shaw: Great. Thank you all for joining in the call today. As you can see we are making progress in many areas with a strong quarter, but the market remains uncertain. We have successfully executed a succession plan that will enable us to build off our strengths or bringing in new ideas and direction. We continue to rationalize our business as we operate in a choppy environment characterized by strong demand by employers and uncertainty by prospective students. Our goal is to strengthen our balance sheet in the near-term so that we can further invest for long-term growth. We remain very committed to our students in maintaining our leadership role within our industry. And finally, before we end the call, I would like to once again thank Shaun and Alexis, our Chairman for their leadership during this very challenging time. Thank you all again and we look forward to updating you on our next call.
Operator: Okay. Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect now. Good day.